Operator: Thank you for joining us today. Certain statements made during the course of this conference call that are not historical facts, including those regarding the future financial performance and cash position of the company, expected improvements in financial and related metrics, expected ARR from certain customers, certain expected revenue mix shifts, expectations regarding seasonality, customer growth, anticipated customer benefit from our solution, including from AI, the extent of the anticipated TAM expansion and our ability to take advantage of any such expansion, our AI and our CCaaS revenue opportunities and current estimations regarding same, including the ability to leverage data in support of AI revenue opportunities, company growth, enhancements to and development of our solution, statements regarding our share purchase program, market size and trends, our expectations regarding macroeconomic conditions, company market and leadership positions, initiatives, pipeline, technology and product initiatives, including investment in R&D and AI and other future events or results are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Such statements are simply predictions, should not be unduly relied upon by investors. Actual events or results may differ materially, and the company undertakes no obligation to update the information in such statements. These statements are subject to substantial risks and uncertainties that could adversely affect Five9's future results and cause these forward-looking statements to be inaccurate, including the impact of adverse economic conditions, including the impact of macroeconomic challenges, including continuing inflation, uncertainty regarding consumer spending, high interest rates, fluctuations in currency exchange rates, lower growth rates within our installed base of customers and the other risks discussed under the caption Risk Factors and elsewhere in Five9's annual and quarterly reports filed with the Securities and Exchange Commission. In addition, management will make reference to non-GAAP financial measures during this call. A discussion of why we use non-GAAP financial measures and information regarding reconciliation of our GAAP versus non-GAAP results and guidance is currently available in our press release issued earlier this afternoon as well as in the appendix of our Investor Relations deck that can be found in the Investor Relations section of Five9's website at investors.five9.com. Also, please note that the information provided on this call speaks only to management's views as of today and may no longer be accurate at the time of a replay. Lastly, a reminder that unless otherwise indicated, financial figures discussed are non-GAAP. And now I'd like to turn the call over to Five9's Chairman and CEO, Mike Burkland.
Michael Burkland: Thanks, Tony, and thanks, everyone, for joining our call this afternoon. We're pleased to report a solid Q3 with continued momentum in bookings, highlighted by enterprise AI bookings growing more than 80% year-over-year, contributing to healthy improvements in backlog. Subscription revenue, which makes up 81% of total revenue, grew 10% year-over-year, primarily driven by enterprise AI revenue growing 41% year-over-year in the third quarter. In terms of profitability, adjusted EBITDA grew 37% year-over-year to a margin of 25%. We also generated record free cash flow, which grew 84% year-over-year to a margin of 13%. The meaningful increase in profitability and cash flow is driven by the transformation initiatives we announced earlier this year. We continue to take action to drive operational improvements while investing in AI and go-to-market initiatives, maintaining a line of sight to our 2027 medium-term targets as we work toward the Rule of 40 and beyond. Turning now to our business updates. Today, I'd like to focus my commentary on 3 key areas. First, our significant and evolving market opportunity ahead. Second, how we believe we're uniquely positioned to win in this new market of AI-powered CX; and third, our momentum with strategic partners. We are in the early innings of an industry shift in CX, where our market opportunity is being driven by multiple growth vectors. For instance, Gartner forecasts the market for traditional CCaaS to grow at a 9% CAGR and the GenAI customer service market to grow at a 34% CAGR through 2029 to a combined annual spend of $48 billion. We believe this growth will create a powerful tailwind for category leaders like Five9 as we continue to execute against this durable multiyear opportunity. Furthermore, we believe Five9 is uniquely positioned to be the platform for orchestrating end-to-end customer experience across both AI agents and human agents. At the heart of our advantage is data. The contact center holds a brand's richest customer data, the full conversation history across every channel and every interaction. Our platform essentially remembers everything a customer has said, whether they spoke with a live agent or an AI agent through voice or digital. This creates what we call a relationship-based experience like when your favorite app [ reaches ] you by name, remembers your preferences and picks up exactly where you left off. Every engagement feels personal, contextual and connected. AI point solutions can't replicate that because they only see isolated transactions, not the full relationship. At its core, our platform is a real-time orchestration engine for every interaction across all channels, whether handled by a human agent or an AI agent. In addition to our suite of AI products, which you're all familiar with, we also infuse AI within our core platform. For example, we now have AI-based routing, which leverages AI to dynamically manage and route every interaction with context to the best human agent or AI agent regardless of channel. Additionally, our platform is uniquely positioned to deliver experiences that will allow human agents and AI agents to collaborate in real time. This can include experiences such as in queue self-service, where during a time a customer waits in queue for a live agent, an AI agent can proactively help resolve the issue, turning hold time into resolution time. Also, agent sidebar, where AI agents can quietly consult a human agent mid conversation to get help without interrupting the customer and AI barge-in, where a human can seamlessly step into an AI interaction to ensure the issue is resolved and the experience remains positive. These experiences showcase what only an end-to-end AI-powered CX platform can deliver. A continuous collaboration between human agents and AI agents, where each interaction enriches the next. That feedback loop compounds over time, creating a powerful data flywheel that strengthens performance, accuracy and personalization. In addition, we're being recognized by industry analysts for our platform-driven approach. For example, Five9 was named a leader in the 2025 Gartner Magic Quadrant for CCaaS for the eighth year, and we were also named a leader in IDC's inaugural MarketScape for European CCaaS. Analysts are recognizing us for strengths in our AI capabilities, cloud-native architecture, global scalability and strong European market presence. This dual recognition validates our strong market position, innovation and consistent customer satisfaction. These platform advantages are also driving momentum with our strategic partner ecosystem, including a major milestone we achieved in the third quarter. In September, we launched Five9 Fusion for ServiceNow, a turnkey AI-powered integration that unifies voice and digital interactions through real-time transcription and intelligent routing. This launch delivers 2 key capabilities. First, our transcript stream integrates directly with ServiceNow Workspace, enabling Now Assist to generate AI-powered summaries and resolution notes that dramatically reduce handle times. And second, our routing engine now directs ServiceNow digital channels and cases alongside Five9 channels for true omnichannel orchestration. This represents a significant milestone in our 8-year partnership with ServiceNow, and they're leaning in stronger than ever, demonstrated by our year-to-date ACV bookings with ServiceNow quadrupling with even greater acceleration in this third quarter. We are also seeing strong traction with other key technology partners, including Salesforce, where year-to-date ACV bookings grew more than 60% and Google Marketplace, where our pipeline has tripled since the announcement of that partnership in Q1. Our strategy of building meaningful partnerships remains a key strength as our long-standing alliances with key partners continue to differentiate us in the market. Additionally, we're seeing ongoing momentum, particularly upmarket, where enterprises are looking to create holistic customer experience strategies that seamlessly integrate with their core business systems. In conclusion, we're optimistic about the foundation we are building for the next decade. At our upcoming CX Summit, we will be announcing new innovations that we believe will set the stage for the next wave of growth as we continue to lead the AI-powered CX revolution with our end-to-end platform to orchestrate interactions across the continuum of AI agents and human agents to deliver what we call the New CX. Importantly, we're doing so with a balanced approach by driving operating leverage and investing in what we believe are the highest return opportunities to drive innovation and durable growth for our business. I want to thank our team of Five9ers for their unwavering dedication to strengthening our leadership position. I'm extremely excited about the future of Five9 and confident we have the platform and the expertise to drive long-term growth. Before turning it over to Andy, I'd like to provide a quick update on our CEO search. As you know, we're focused on identifying a leader with experience and a proven track record in product innovation, a commitment to operational excellence at scale and a growth mindset to further capture market share in this expanding TAM driven by AI. I'm pleased to report that the search is progressing well with our ongoing goal of announcing a successor by year-end. And with that, I'll turn it over to our President, Andy Dignan. Andy, go ahead.
Andy Dignan: Thank you, Mike, and good afternoon, everyone. We were pleased to deliver another solid bookings quarter in Q3. We won the highest number of $1 million-plus ARR new logos in 2 years, and our installed base bookings hit another all-time high, driven by ongoing strength in upsell and cross-sell activities. For example, a major U.S. card servicer chose Five9 in a $3.7 million ARR deal. A multistate hospital system selected Five9 in a $2.7 million ARR deal. A leading European mobile and broadband provider partnered with Five9 in a $1.3 million ARR deal. And a global parcel delivery leader expanded their relationship with Five9 in a $3.5 million ARR deal. Looking ahead, we remain encouraged by the momentum of our business, fueled by pipeline and RFP activities sustaining elevated levels. In addition, we are increasingly winning competitive evaluation against AI point solution providers as enterprises recognize the value of our unified platform where AI is natively embedded across the entire customer journey. I'd like to talk about 4 examples of customers experiencing AI elevated CX because of the Five9 platform advantages. The first example is the global parcel delivery leader already on our core platform who is moving off an AI point solution in order to take advantage of our contextual data for hyper-personalization plus our deep integrations to their third-party systems. In addition, the efficiency gain for being able to have real-time insights across human agents and AI agents was another key reason they selected our AI-powered platform. The second example is a commercial vehicle financing provider who uses Five9 AI to support multilingual F&I servicing across North America, orchestrating seamless journeys from AI agents to human agents with deep CRM integration and omnichannel visibility. The third example is a regional digital bank who monetized their services with Five9 AI-powered routing, Agent Assist for banking integrations, enabling real-time orchestration of financial interactions while preserving full customer context across channels. And the last example is a major academic health system who replaced legacy IVRs with Five9 AI to improve patient access and scheduling, using our end-to-end platform to orchestrate voice and digital journeys with shared context between AI agents and human agents. And with that, I'd like to turn it over to Bryan to take you through the financials. Bryan?
Bryan Lee: Thank you, Andy. Before we dive into our quarterly results, I'm excited to announce our inaugural $150 million share repurchase program, which is an important milestone that reflects a deep conviction in our long-term growth opportunity. We believe Five9's current valuation does not reflect our intrinsic value, particularly when considering the total platform opportunity for both our core CCaaS and AI-driven growth. The structure of the program includes an allocation of $50 million through an accelerated repurchase program, which we expect to complete before the end of Q1 2026 and the remaining $100 million balance open for up to 2 years. This program underscores our commitment to a disciplined and balanced approach to capital allocation and delivering strong returns to shareholders. Now turning to our financial update for the third quarter. Q3 revenue came in at $286 million, representing 8% growth year-over-year. Subscription revenue grew above total revenue at 10% year-over-year, driven by enterprise AI revenue growing 41% year-over-year, now making up 11% of enterprise subscription revenue. As anticipated, revenue growth was negatively impacted by approximately 5 percentage points due to a tough compare from our largest customer completing its multiyear ramp throughout 2024 and from minimal seasonal uptick compared to Q3 '24. As a reminder, subscription revenue reflects both customer growth and product expansion, including our AI solutions. Subscription revenue represented 81% of total revenue, up from 79% a year ago. And we expect this mix shift to continue as we focus on high-margin subscription dollars increasingly led by our AI solutions. Telecom usage represented 12% of revenue and professional services made up the remaining 7%. By design, these 2 categories are not growth drivers and steadily becoming a smaller percentage of total revenue. On an LTM basis, enterprise contributed approximately 91% of total revenue with the subscription portion growing 18% year-over-year. Our commercial business represented the remaining 9% and declined in the teens year-over-year as we continue to focus upmarket, which has better unit economics. The year-over-year decline in commercial is more pronounced than anticipated, but we're in the process of recalibrating and expect to get to historical year-over-year trends within the next couple of quarters. LTM dollar-based retention rate came in at 107% in the third quarter, down sequentially from 108% in Q2, which is within the small band we spoke about last quarter. This was driven by the tough compare I mentioned a moment ago regarding subscription revenue growth. In Q4, we anticipate DBRR to continue to be range bound, but expect upside in 2026. Turning now to profitability. Q3 adjusted gross margin was 63%, up approximately 100 basis points year-over-year, while adjusted EBITDA margin reached a record of 25%, up approximately 530 basis points year-over-year. This marks our fifth consecutive quarter of year-over-year expansion in both metrics. The consistent improvement is driven by our revenue mix shift toward higher-margin subscription revenue, combined with operating leverage as we scale and achieve cost efficiencies from our transformation initiatives. Additionally, we continue to boost productivity as demonstrated by our revenue per employee increasing 12% year-over-year. Q3 GAAP EPS was $0.21 per diluted share, representing 4 consecutive quarters of positive GAAP earnings, while non-GAAP EPS came in at $0.78 per diluted share. In terms of cash, both operating and free cash flow reached record highs. We generated $59 million or 21% of revenue in operating cash flow and $38 million or 13% of revenue in free cash flow. Turning now to guidance for the fourth quarter and full year 2025. For Q4 revenue, we're guiding to a midpoint of $297.7 million, which represents sequential growth of 4%. Despite our ongoing expectations of minimal seasonality, the 4% sequential growth is higher than our typical guidance pattern for Q4 due to revenue contributions from the backlog driven by both new logo and installed base bookings from past quarters that are starting to ramp. For full year 2025 revenue, we're maintaining our guidance at $1.146.5 billion, which represents double-digit growth for the full year. For Q4 non-GAAP EPS, we're guiding to a midpoint of $0.78 per diluted share, which reflects our ongoing disciplined cost management and an estimated 1.7 million shares being retired through our accelerated share repurchase, offset by lower interest income. For full year 2025 non-GAAP EPS, we're raising the midpoint by $0.06 to $2.94 per diluted share. Additionally, we're raising our full year 2025 adjusted EBITDA margin expectations to approximately 23% compared to our prior outlook of 22%. In summary, 2025 has been a year of transition, shaped by multiple financial and operational dynamics. However, I'd like to provide some perspectives on how we expect the business to inflect as we progress throughout 2026. It's important to understand the evolution we are seeing in how bookings convert to revenue, particularly for our recent installed base expansions, including more AI products. Deployment of these AI solutions and expansions into additional departments within existing customers have longer implementation cycles, typically converting to revenue over multiple quarters. This translates to a meaningful portion of the strong installed base bookings we've been achieving layering into revenue progressively throughout 2026 with the most significant impact in the second half of the year. And this is in addition to our new logos in the backlog ramping throughout 2026. Given these factors, we expect the sequential change in Q1 '26 revenue to be relatively flat, followed by momentum building quarter-over-quarter throughout the year. From a year-over-year perspective, we expect revenue to return to double-digit growth in the second half of 2026. As a result, we're comfortable with the current Street consensus revenue of $1.254 billion for 2026. On the bottom line, our historical pattern is for Q1 to step down sequentially, representing our lowest quarterly EPS of the year. And we expect that same pattern to continue in 2026. We anticipate sequential improvement in Q2 with more meaningful acceleration in the second half, particularly Q4. For the full year 2026, we expect to exceed the current Street consensus non-GAAP EPS of $3.14 per diluted share. Also, we expect annual adjusted EBITDA margin to expand by at least 100 basis points year-over-year to 24% plus in 2026. Lastly, we expect annual free cash flow to be approximately $175 million in 2026. In closing, Q3 reflects strong execution on our transformation initiatives, which are driving bookings momentum and meaningful operating leverage. We remain laser-focused on achieving the Rule of 40 in 2027 with a return to double-digit total revenue growth, driven by bookings strength in both core CCaaS and AI, coupled with ongoing margin expansion. The share repurchase program we announced today demonstrates our confidence in the team's ability to execute and create long-term shareholder value. Operator, please open the line for questions.
Operator: [Operator Instructions] We will begin with DJ Hynes from Canaccord.
David Hynes: Bryan, I'm going to start with you and just what happened in the quarter. I mean, look, Five9 has generally been known for being pretty measured with its guidance. I look at Q1 of this year, you beat the high end by $7.2 million. Q2, you beat it by $7.8 million. This quarter, we're only at the high end of the guidance range. So I guess it begs the question like what changed? What happened in the quarter?
Bryan Lee: Yes, DJ, thanks for the question. So just a couple of points I want to make there. First of all, we're in the current growth environment that we're transitioning through. We do not expect big beats, number one. And then if you think about the quarter, I'm going to stick with subscription revenue that represents 81% of our revenue. There are 2 components. So it grew 10% year-over-year in Q3 versus 16% in the quarter before. So that 6 percentage point differential, 5 of those 6 is made up by the tough compares that we've been talking about all year long, right? We have the headwind from our largest customer who is finishing its multiyear ramp throughout 2024, making a tough comparison as well as our seasonal uptick that was very strong last year, that was very minimal at this time in Q3. And then there's a third component that was unanticipated in the sense that earlier, I mentioned the commercial revenue declining year-over-year in the teens. So that was more than what we anticipated. And there are really 2 key drivers there. One was we underallocated demand gen spend toward commercial during the quarter. And the other piece is that we had a gap in sales capacity as we promoted more commercial reps to enterprise than normal. So we're in the process of recalibrating that, and we anticipate over the next couple of quarters to kind of return the commercial revenue growth -- revenue year-over-year trends back to the historical norms. But those are kind of the puts and takes that went through the quarter.
Michael Burkland: And DJ, I'll just add, promoting those reps from our commercial team to our enterprise team, that happens naturally. That's our farm system for talent internally. So again, from time to time, we get a lot of promotions that happen. And then what you have is in commercial, you've got reps that are ramping, right? So that was part of it.
Operator: Our next question will come from Siti Panigrahi from Mizuho.
Sitikantha Panigrahi: I just wanted to ask about this -- your installed base booking. Last quarter, it was record bookings. Again, another quarter of record bookings. Why it's taking so long to translate that to revenue? I understand it takes maybe a couple of quarters. But Bryan, based on your guidance, it appears now a little bit more like a year, like Q2 when we'll start seeing that. Can you help us understand and what can you do to further accelerate that?
Bryan Lee: Yes, absolutely. So Siti, the installed base bookings, as you've heard in the last 2 quarters, have hit all-time highs, which is great. And a lot of that is through upsell, cross-sell of software, including AI and new business units that we're discovering within our existing customer base. So these kind of bookings, and we're having more and more of those each quarter, they have a ramp converting from bookings to revenue, very similar to new logos essentially. So that's why our Q4 guide, if you look at it, the sequential growth there is rounding up to 4%, which is higher than the typical guidance that we give for Q4. And that reflects the backlog of not just new logos, but installed base bookings that are starting to convert into revenue. And then not just Q4, but into 2026 as well. So this is a new dynamic, but one that we have taken into consideration for our guidance.
Operator: Our next question will come from Ryan MacWilliams from Wells Fargo.
Ryan MacWilliams: And look, we'd love to hear about what the bookings environment in the third quarter was like and how that's evolved with all the attention on AI now. And I know this is less a part of your business at this point, but I still have to check in just on the holiday season usage in terms of how we could see seasonal hiring for seats there, both for open enrollment and retail customers.
Michael Burkland: I'll start, Andy, feel free to chime in and Bryan, too. But good to see you, Ryan. Look, some highlights for the quarter. AI bookings up 80% year-over-year. We're really, really pleased with that. And again, the momentum in AI is continuing. But I'll add that our non-AI bookings in enterprise was actually a Q3 record as well. And again, as these worlds come together over time, we're still breaking out kind of our AI products from our non-AI products for you all in terms of revenue and bookings commentary. But look, it's a good bookings environment. As we just talked about, there's a little lag in the engine given the character of the bookings. But look, highest number of $1 million-plus logos in 2 years, that's great and an all-time record for installed base bookings. So all in all, we're really pleased with the bookings momentum, but didn't mean to steal your thunder.
Ryan MacWilliams: No, no, that's fully...
Bryan Lee: Let me touch on seasonality real quick, Ryan. So -- it was actually quite a few interesting dynamics that we saw. And I'm going to focus -- if you recall, we surveyed our top seasonal customers back in July, and I'm going to stick with the consumer vertical with those customers because it's a good proxy. So on the subscription side, we saw that it was minimal seasonality as they had anticipated. But on the telecom usage side, we did see a slight uptick. And so we went back to those customers, and they actually observed the same in terms of volume of interactions coming into their contact center where they saw a small uptick. So they're in the process of monitoring that really closely to see if in the back part of November and December, we see a much stronger uptick then, in which case, they will, to the extent possible, expand their seasonal business with us. So right now, the way the guide is set up, we're still expecting minimal seasonality, but there is -- if there is that uptick, then that would be potentially a small upside for us.
Operator: Our next question will come from Catharine Trebnick from Rosenblatt.
Andrew King: Andrew King here on for Catharine Trebnick. Just wanted to double-click on the international really quickly. Good to see that IDC report out. Just wanted to hear what you see your differentiator as over in that market? And how is that BT relationship helping you progress over there?
Andy Dignan: Yes. The BT relationship continues to be strong for us. I mean, obviously, they bring to bear sort of the reseller type market. They bring their services to bear. And so we continue to have a lot of success there. And look, we've been saying it, international has a lot of upside for us, and we continue to lean heavily on the partner go-to-market. We still have direct business. And so we feel good about how that's tracking and again, continue to invest in that space, both obviously, in our core business, but then AI and digital as well. As many of you might know, in the international space, digital is sort of a key technology area. So if we continue to expand that business, it's going to pay off for us.
Operator: Our next question is from Terry Tillman from Truist.
Connor Passarella: This is Connor Passarella on for Terry. Just wanted to kind of follow up on the Salesforce relationship, particularly on the drivers of the booking strength that you called out there. Is there a way to maybe frame the performance across the 2 opportunities that you have within that ecosystem being Agentforce and Service Cloud?
Andy Dignan: Yes. What I would say would be -- so Service Cloud is obviously a key focus for Salesforce and us. We have over 1,000 joint customers, and we partner in every opportunity together with Salesforce to make sure that we're moving that forward. That's really why we came up with sort of the Fusion framework, which that Fusion framework is just sort of our framework for how we integrate the CRM, whether that's Salesforce, ServiceNow or others. And so we're having a lot of success in that route to market sort of the self-service arena. sorry, the Agentforce is the second opportunity. Look, I think it's still early days for Agentforce. And when we go into an opportunity, we want to win the core CCaaS. Obviously, Salesforce has CRM and like the best solution for the customers where we align on. And again, back to that Fusion, it's really about customers wanting to understand what they get, what's the benefit out of us coming together. And I think that's been -- has helped drive opportunity because our sales teams and Salesforce sales teams are all essentially saying the same thing in terms of the benefits to the customer.
Michael Burkland: And I'll just add that the momentum with Salesforce and our joint customers is very, very strong. I talked about the 60% year-over-year growth in bookings year-to-date.
Operator: Our next question will come from Raimo Lenschow from Barclays.
Raimo Lenschow: A question from me. If I look into the data -- the call center space, sorry, there's a lot of -- there seems to be -- especially on the higher end, there seems to be still a lot of like on-premise old technology stuff. And I know everyone is focused on AI at the moment, but it does feel almost like we're doing step 2 before we do step 1. Can you see a little bit what you see in your conversations? Does that kind of -- are people realizing they actually need to move and you guys obviously have been moving kind of higher, you were a cloud vendor from the very beginning. Can you see that in the conversation and in the pipeline?
Michael Burkland: Yes, for sure, Raimo. And again, I'll let Andy kind of chime in after me. But look, at a high level, you're right on. I mean, look, we're still 40-plus percent cloud, and that means 60%-ish on-premise. You're right on. There's still a ton of kind of core contact center that's on-premise that has to move to the cloud. But as you know, I mean, AI has become so front and center for every CEO. And therefore, all their CIOs are out looking at AI and sometimes AI first is the way they're making decisions. And we're -- we've now adjusted our go-to-market motions to actually be part of those discussions with an AI-first go-to-market motion where we may start a sales cycle with AI and then pull the CCaaS through as a second decision. It's just an evolving market. But in the end of the day, look, these enterprise brands know that they've got to go to the cloud to get all the benefits of AI, right? And so they go hand-in-hand. But in some cases, the order of the decisions might change. And it's playing out just pretty much as we expected and very favorable for us.
Andy Dignan: Yes. I mean I think if you look at -- it's kind of like there's customers in 3 camps. You've got the ones who are already made the shift to cloud and they're looking at AI, then you have the customers that are -- they have an RFP from prem to cloud, looking at doing both, AI and CCaaS. And then some of the customers that we're seeing is they know they have to move to the cloud. But if they're looking to get that immediate benefit, to Mike's point, we do have an AI-first sort of strategy for those customers. Sometimes those customers go down that path and ultimately, they go, "Hey, look, it's just better to do this all at once." But again, we're starting to see more customers kind of lean in to say, "hey, let's do AI first" and we support that motion with a fast follow with CCaaS. And I think that's an exciting time for us because, again, we can support all 3 of those routes to market.
Michael Burkland: And I'll add one more thing. We're winning because of that end-to-end platform. It's not like these are 2 separate things. We talk about them separately as AI and core CCaaS. But look, we've got one platform that orchestrates interactions, whether they're handled across -- it's across the continuum of AI agents and human agents, for example, right? So it's not a separate thing. It's really one platform that most enterprise brands are looking for. And that's why we're winning. That's why we're winning in this market right now, and it's why we believe we'll continue to win in AI.
Andy Dignan: And sorry, to add one more. It's just like that parcel delivery company, right, that we -- they're a core CCaaS customer of ours, right? They chose a couple of years ago to go with an AI point solution. Here we are 3 years from now, replacing that solution. And that's again because they've got to the point where they see the value of, obviously, our AI kind of stand-alone. But to Mike's point, having that continuum of AI agents and human agents is the end-to-end platform that they're looking for.
Operator: Our next question will come from Elizabeth Porter from Morgan Stanley.
Elizabeth Elliott: I was hoping to get an update on just the competitive environment. I think we've seen Zoom up a little bit more in our mid-market checks and Amazon Connect reportedly just crossed $1 billion of ARR. We've seen several splashy headlines around AI native companies. So curious if you're seeing any sort of change in behavior or win rates or buyer dynamics as these players start to get more headlines?
Andy Dignan: Yes. I mean in terms of the competitive dynamic, I mean, just pure CCaaS, it still continues to be us and our 2 biggest competitors. You mentioned the hyperscaler. We do see them. We like to say sometimes if we're in the same deal, one of us is probably in the wrong deal. Just 2 different kind of solutions customers are looking for. So not a huge change there. We do see Zoom in the mid-market, but our win rates continue to be strong, and we feel really good about where we're at in the core CCaaS platform. And obviously, when you look at both CCaaS and AI together and certainly our AI-first go-to-market, I think, we continue to have success. So not -- I wouldn't say any major changes in the competitive dynamic.
Operator: Next question will come from Jackson Ader from KeyBanc.
Jackson Ader: I had a question on the layering in, in of some of these -- of some of the -- either the enterprise deals or the AI deals. Is there anything that you can do? Is there anything within either your control or maybe partners' controls that you would say, all right, can we accelerate the time to actually get some of these products implemented and generating not just bookings, but revenue ahead of what's happening right now?
Andy Dignan: Yes. So as Bryan mentioned and Mike, we have this situation where a lot of the changes we've made in our installed base, we're selling 2 quarters in a row of record bookings. There is still that lag, right? And I think we've -- and we talked about this previously, we've added some new functionality certainly within our AI products where you're leveraging generative AI to deliver faster, right? It's less about the work -- building the workflows and more about just doing essentially prompt engineering. And so we can move faster, and we're certainly doing that. We're seeing that within our customer base. A lot of times, though, we're part of kind of an overall AI transformation across the company. A lot of times they're doing -- they have to get their data to a good spot. And again, companies have gotten much better there. But we still see some of that dynamic where it is kind of like a new implementation. But I do think that as we get further into this, more and more customers are going to be more comfortable leaning further into that true GenAI agent versus some of the markets like health care and financial services that are still a little bit behind. But the good thing is we can service -- we talk about our trust and governance that the dial of trust. Some customers want to do just purely sort of workflow driven. We are seeing companies go faster towards the, let's go all in with generative AI. So I think we're well positioned for it, but that's going to be the #1 thing is sort of adoption of customers wanting to go faster and have trust in the platform. And we've done a lot of things within the platform sort of reducing hallucinations and things like that. The team has done a great job. And so that will demonstrate customers starting to move faster in terms of deployments. But we always hit those challenges and customers just aren't ready to fully ramp yet.
Operator: Our next question is from Samad Samana from Jefferies.
William Fitzsimmons: This is Billy Fitzsimmons on for Samad. Obviously, the business is still growing at a good clip. You're adding revenue. You called out record enterprise bookings. If we go back a handful of quarters ago, there was a period where you had a string of kind of several quarters where you announced a variety of mega deals. There's the health care one, the logistics one. And correct me if I'm wrong, but now it's been kind of another handful of quarters since that $50 million ARR financial services deal. And just wanted to get your view on why you think that is. Is there any impact at all from maybe like slower on-prem conversions or maybe even like decision fatigue because of AI? Or is this more just a function? I know there were some sales org changes about a year ago where -- and I'm paraphrasing here, there was more incentivization. You were incentivizing kind of dolphin sized deals over, call it, like the whales. And is it a function of, hey, we're just going after more dolphins now?
Michael Burkland: Yes. Billy, I'll start. Look, the pipeline for megas is still very, very good. These take time. I mean that's the answer. They just -- the sales cycles are long, and it's really a function of that. We've said this all along that it's going to be lumpy. And therefore, let's make sure that we have this flywheel of dolphins that are coming through our sales funnel. And we talked about it. It was the record -- not record, but highest in 2 years number of $1 million-plus new logo wins. So again, the dolphins continue to be the more important metric, I guess, is the way for us to think about it. But look, there's a nice pipeline of megas out there, and we're very well positioned, in some cases, with very, very strategic partners of ours, too.
Andy Dignan: And in terms of the sales changes, we didn't make any -- we put focus back on to the dolphins, but we kept a dedicated team. It's actually even bigger than it was before with not just salespeople, but solution consultants and experts and services team. So we continue to double down on the market. But to Mike's point, it's just lumpy and takes time. But we feel good about that space.
Operator: Our next question will come from Will Power from Baird.
Ioannis Samoilis: Yanni Samoilis for Will Power. So I noticed that Q4 revenue guidance is a $6 million range top to bottom, which is a bit wider than the range that you normally give or guide to for a given quarter. And I was just curious if there's anything that might be driving the wider range of outcomes that you're forecasting there. And then on the flip side, I appreciate the color on your early expectations for 2026. But what's giving you the confidence to comment on next year with that level of precision giving the wider guidance range for Q4? If you could just help juxtapose that for us.
Bryan Lee: Yes, absolutely, Yanni. So the $6 million range for Q4 is mainly based on the fact that we beat Q3 by $1.3 million, and we actually held that back because of the commercial revenue decline that was bigger than what we anticipated. And so that was for prudent reasons. And while we're recalibrating and we expect the normalcy to happen over the next couple of quarters, and we're expecting some partial recovery in Q4, we just wanted to have a little bit of a wider range there to allow for that. Now going into 2026, we have built contingencies into our outlook there. But if you think about 2025, there's -- it's been a year of transitions and a lot of operational and financial changes, a lot of tough compares that we were going through, which we expect to lap fully by the end of the year. But then we're starting out with a strong backlog of not just new logos, but installed base bookings that Mike and Andy talked about as well. So with those ramping starting in Q4, but mostly in 2026, that gives us that comfort around that Street consensus of $1.254 billion. But we'll provide more details next quarter when we give formal guidance for next year.
Operator: Our next question is from Rishi Jaluria from RBC.
Rishi Jaluria: Nice to see continued AI adoption. Maybe I want to think a little bit one step deeper and think about kind of the current state of enterprise adoption. Look, I get that you have a lot of the tools to be the trusted AI partner in terms of governance and security and data privacy, and you've been a trusted partner with critical data over the years. So I totally understand your positioning. What we've been seeing, and I'd be curious to hear what you're seeing is a lot of enterprises are maybe slowing down the rate of AI adoption as they try to figure out the right use cases and one of those being customer support. But maybe just any color you can give in terms of what you're seeing broadly within your base of kind of the state of enterprise AI demand today versus how it had been maybe, call it, 6 months ago. And as we think going forward, right, getting that greater uptick in AI throughout your customer base, what are things that you have in your power and your control to work with those customers to just kind of get over a lot of those hurdles that are holding back AI demand in the enterprise?
Michael Burkland: Yes, I'll start, Rishi. Look, the AI demand is so strong. I think what we're seeing is just a continued improvement, quite frankly, in appetite and demand and willingness by the larger brands out there to do more than proof of concepts to actually deploy AI. It's being proven. And there -- again, their appetite is also shifting toward the platform players like Five9 for that AI. I think they're realizing the limitations of these point solutions in some respects, right? So that's the flip side. But what they're seeing, and it's why Andy talked about that one case where one of our largest customers that had a point solution for AI basically is replacing it with our AI because it's all part of our platform. So I think there are 2 very different things happening here. I think the demand is very high across the brands for AI. They're getting more comfortable with it, but they're getting more comfortable with it from platform players like Five9, and that is a good thing for us.
Andy Dignan: And in terms of what's in our control, we've talked about in the past our AI blueprint strategy. So we have the ability to go into our installed base, right? We're having a ton of success, right, as you see in the numbers in terms of installed base. We know the types of calls they have. They have their recordings, right? We're working with the customers. Obviously, they have access to all of this. So our teams can come in and take a very data-driven approach on, hey, here's the use cases that we see that would have high ROI upside. And we've done a lot of work on the back end to have essentially prebuilt type both go-to-market and implementations to deliver on those quickly, right? So I think that's an area where we continue to double down on. And we're -- the other thing is our product team and engineering team in terms of AI, they work closely with our services teams and our sellers and our customers to say, "Hey, like what are you seeing out of these blueprints? What are the things that we could build into the product to even accelerate some of that demand." So it kind of gets that flywheel going on the opportunity that we have the customers' data, right? Obviously, their data is their data, but we have the knowledge and working with them to be able to deliver that. So that's what we can control.
Operator: Next question will come from Peter Levine from Evercore.
Peter Levine: Maybe to piggyback off of an earlier question around the competitive landscape is, I mean, are you seeing any pricing pressure on your core live agent seats at renewal, meaning as you see some of these competitors come in, trying to gain share, are your customers at renewal perhaps maybe fighting or pushing back for higher discounts? So maybe the question is just like what's your discipline on pricing for core agent seats given just the escalation in terms of the competitive landscape? And then second, can you just remind us how you charge for AI and the revenue recognition behind that?
Andy Dignan: Yes. So I'll take the front part of that. So what we're seeing at renewal time is we aren't seeing pricing pressure on our core business. What we are seeing with customers is they want to make sure that they -- that we have pricing models built in for them to take advantage of AI. Last quarter, we talked about a couple of big expansions to health care companies. And that was that renewal time where they said, "Hey, look, we've been leveraging our platform for multiple years, and we were able to renew at a higher level and then build into that renewal both AI and agents." So we don't see that kind of pricing pressure. But I don't know, Bryan, if you want to comment on the revenue side.
Bryan Lee: Yes. Definitely on the revenue side, the pricing model for our AI products is either capacity or consumption-based. And whichever model it is, it's usually a block of units that you're getting and then overage if you go beyond that. So it works pretty much like a commitment model plus overage charges.
Operator: Our next question will come from Arjun Bhatia from William Blair.
Arjun Bhatia: Okay. Perfect. Just took some time. Can we just go back to the commercial business for a second? Obviously, it seems like that caught you off guard a bit. What is sort of the remedy? Is it just allocating more sales and marketing spend? And then how do you think that might evolve next year? Like can that get back to growth? Or is that a little bit too ambitious for 2026?
Michael Burkland: Yes, Arjun, I'll start. Look, we did over rotate in terms of demand gen allocation to enterprise and majors, which, again, we're always trying to crack the code there because, look, it's 91% of our revenue is enterprise, and it's the bigger market opportunity and so forth. But I've encouraged the team to just be careful not to over rotate. We've already corrected some of that allocation of demand gen spend back to commercial. And the good news about commercial is it's kind of a real-time indicator, right? I mean it's -- things move -- deals move through the funnel quickly and they turn to revenue quickly. So while we had the impact of that in Q3, we've rectified that, and I believe we'll be right back to where we have been in commercial within the next quarter or 2. Now at the same time, just keep in mind, that is not a growth vector overall for the business. But at the same time, we don't want it to become a headwind like it was in the quarter. And this sales capacity that we talked about earlier in commercial is also something that we've got to just anticipate. Again, sometimes it's going to be a little lumpy. In this case, it was lumpy where we had several promotions. We just got to manage that a little bit better. So in our control.
Operator: Our next question will come from Tom Blakey from Cantor.
Thomas Blakey: Just wanted to maybe talk a little bit more about competition. I think there was a question earlier. Just looking at the dynamic growth of some of these conversational names like Sierra and Decagon. I mean, are you seeing these guys currently in the market? Are they disrupting in any way? I think just given the dynamic growth there, I think, we should address that. And just maybe a housekeeping item for Bryan. Was the 5-point headwind from the large customer from 3Q '24 like different from where you implied in the guide? Was it more of a surprise or kind of in line, that will be great?
Bryan Lee: No, the 5 points, that was in line. So that was exactly expected. But I'll turn it over to Mike.
Michael Burkland: Yes. And you can talk to Sierra and Decagon. I mean they're getting a lot of limelight these days, right? And limelight, they're not very large companies yet. But look, they're getting a lot of press. And this gets back to what I said earlier about kind of point solutions versus platforms. And most of these large brands, they want to look at the hot stuff, so to speak. They want to take a look. But in the end of the day, a lot of these decisions are made based on the end-to-end platform capabilities because providing that connected contextual personalized experience between AI agents and human agents is only possible. It's only possible if you have an end-to-end platform like ours. So again, I'll let Andy chime in, you want to talk about...
Andy Dignan: I mean we see them, I wouldn't say consistently, but we come across them. A lot of times, there's pilots. And certainly, we're in there, like it could be in one of our own customers, right? They've just made their way in. Obviously, they're getting a lot of publicity in the market. But this is where we lean into what we've been talking about, right? It's that sort of continuum of being able to deliver to both AI agents and human agents. And if you look at where they've started, and again, I'm sure they'll comment on they're going to go down the voice path. It's largely been digital, right? That's been the focus of a lot of these point solutions. Voice, as we've talked about, is a strength for us, right, and a very big strength for us that's hard to replicate. So you add those things together, we feel strong about where we're competing on those use cases, and we're going to continue to get better.
Operator: This concludes the Q&A portion of our call. I will now hand the call back over to CEO, Mike Burkland, for closing remarks.
Michael Burkland: Thanks, everyone, for joining us. We look forward to keeping you updated as we close out the year and enter into 2026. Exciting times. Thank you very much for joining us.